Operator: Good afternoon, everyone, and thank you for participating on today's Second Quarter 2023 Corporate Update Call for Barfresh Food Group. Joining us today is Barfresh Food Group's Founder and CEO, Riccardo Delle Coste; and Barfresh Food Group's CFO, Lisa Roger. [Operator Instructions] The discussion today will include forward-looking statements. Except for historical information herein, matters set forth on this call are forward-looking within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements about the company's commercial progress, success of its strategic relationships and projections of future financial performance. These forward-looking statements are identified by the use of words such as grow, expand, anticipate, intend, estimate, believe, expect, plan, should, hypothetical, potential, forecast and project, continue, could, may, predict and will and variations of such words and similar expressions are intended to identify such forward-looking statements. All statements other than statements of historical fact that address activities, events or developments that the company believes or anticipates will or may occur in the future are forward-looking statements. These statements are based on certain assumptions made based on experience, expected future developments and other factors that the company believes are appropriate under the circumstances. Such statements are subject to a number of assumptions, risks and uncertainties, many of which are beyond the control of the company. Should one or more of these risks and/or uncertainties materialize or should underlying assumptions prove incorrect, actual results may vary materially from those indicated or anticipated by such forward-looking statements. Accordingly, investors are cautioned not to take undue reliance on these forward-looking statements, which speak of -- which speak only of the date they are made. The contents of this call should be considered in conjunction with the company's recent filings with the Securities and Exchange Commission, including such as annual report on Form 10-K and the quarterly reports on Form 10-Q and current reports on Form 8-K, including any warnings, risk factors and cautionary statements contained therein. Furthermore, the company especially disclaims any current intention to update publicly any forward-looking statements after this call, whether as a result of new information, future events, changes in assumptions or otherwise. In order to aid in the understanding of the company's business performance, the company is also presenting certain non-GAAP measures, including adjusted EBITDA, which are reconciled in a table in the business update release to the most comparable GAAP measures. The reconciling items are nonoperational or noncash costs, including stock compensation, stock issued for services and other nonrecurring costs such as those associated with the product withdrawal and the company's NASDAQ uplist. Management believes that adjusted EBITDA provides useful information to the investor because it is directly reflective of the period-to-period performance of the company's core business. Now I will turn the call over to the CEO of Barfresh Group, Mr. Riccardo Delle Coste. Please go ahead, sir.
Riccardo Delle Coste: Good afternoon, everyone, and thank you for joining us for our second quarter 2023 earnings call. As expected, the second quarter was challenging as we work to regain school customers lost as a result of the issues with our largest bottle manufacturer and to get added back on to school menus before the end of the school year. The good news is that in the current quarter, we converted some of these customers over to a carton format and have been added back to some of their menus for the '23-'24 school year commencing this quarter. We gained new customers for the upcoming school year, and we more than doubled our production capacity for our smoothie carton format, thus setting us on a path to achieve sequential and year-over-year revenue growth in the third quarter. We are halfway through the third quarter and have already secured over $1.6 million in revenue and expect to end the quarter in the range of $2.6 million to $3 million as compared to $1.5 million in the second quarter of 2023 and $2.4 million in the third quarter of 2022. We also expect to be approximately adjusted EBITDA breakeven for the third quarter and achieve positive adjusted EBITDA for the fourth quarter of 2023. This quarter, we were able to maintain margins close to the prior year period at 31% and expect modest margin improvement in the back half of the year as carton capacity continues to expand and expect to be in the high 30s to low 40s. Our smoothie carton co-packer has completed the engineering changes required to increase the capacity and is in the process of hiring additional personnel required to meet our current and growing demand. Once fully staffed, we will have production capacity of approximately 25 million to 30 million units annually for our smoothie cartons alone. And it is our expectation that revenue will grow significantly as the capacity comes online, and we expect to achieve record revenue for fiscal year 2023. In addition to increased production of our smoothie carton format, I'm excited to share that we are in the contracting stage with a new bottle co-manufacturer that we expect to be up and running by the beginning of next fiscal year. Finding a partner with the right experience, infrastructure and available capacity was not an easy task. And we are fortunate to have found a co-manufacturer that checks all 3. We believe exiting fiscal year 2023, we will have an even more robust customer base, and we'll now have the manufacturing capabilities necessary to service that base today and as it grows in the future. Our focus for the back half of this year will be continuing to work with our carton co-manufacturer to ramp up carton production to an annual run rate of 25 million to 30 million units by the end of fiscal year 2023, working with our new bottle manufacturer to have them up and running by the beginning of fiscal year 2024 and continuing to advance our operational margin improvement efforts. Our goal is to exit fiscal year 2023 back to the growth trajectory we were on last year before we ran into the issues with our largest bottle manufacturer. I'll now turn the call over to our CFO, Lisa Roger. Lisa?
Lisa Roger: Thank you, Riccardo. Revenue for the second quarter of 2023 was $1.5 million compared to $2.8 million for the second quarter of 2022. The year-over-year decline is a result of limited supply caused by the loss of our largest bottle manufacturer of Twist & Go. As Riccardo stated, we have already secured over $1.6 million in revenue for the third quarter and are heading into our heavy selling season. We expect to end the quarter with revenue between $2.6 million and $3 million. For the full year, we expect to achieve record revenue as capacity and demand continue to ramp for our smoothie carton format. Gross margins for the second quarter of 2023 were similar to the prior year-end at 31% and 32% for the second quarter of fiscal years 2023 and 2022, respectively. We expect modest margin improvement throughout the back half of the year as a result of product mix as smoothie carton sales increase. Our net loss for the second quarter of 2023 was $742,000 as compared to a net loss of $716,000 in the second quarter of 2022. Selling, marketing and distribution expense for the second quarter of 2023 decreased 11% to $625,000 compared to $701,000 in the second quarter of 2022. The decline was primarily due to a 21% decrease in storage and outbound freight expense this year as a result of the decline in revenue, partially offset by the cost to retain outside service providers, including brokers specializing in the school market that were hired in the third quarter of 2022. G&A expenses for the second quarter of 2023 decreased 39% to $493,000 compared to $802,000 in the same period last year. The decrease in G&A was driven by a decrease in personnel costs and stock-based compensation resulting primarily from the confirmation and recognition of our 2021 COVID-related tax credit, a reduction in headcount resulting from technology-driven administrative efficiencies and reversal of previously recognized compensation under our 2023 performance stock unit program. For the second quarter of 2023, our adjusted EBITDA was a loss of approximately $617,000 as compared to a loss of approximately $431,000 for the second quarter of 2022. We expect to be approximately adjusted EBITDA breakeven for the third quarter of 2023 and achieve positive adjusted EBITDA for the fourth quarter of 2023 as a result of increased sales volume, gross margin improvements, headcount reductions taken late in the second quarter of 2023 and relatively fixed operating costs with the exception of outbound freight. Now moving on to our balance sheet. As of June 30, 2023, we had approximately $1 million in cash and approximately $1 million of inventory on our balance sheet compared to $3 million of cash and $1 million inventory as of December 31, 2022. Now I will turn the call back to Riccardo for closing remarks.
Riccardo Delle Coste: Thank you, Lisa. We believe we are turning the corner as we enter the back half of this year with our customers coming back, our new smoothie carton capacity increasing and a replacement bottle manufacturer being worked on and expected to be producing by January 2024. We are expecting sequential and year-over-year improvement in our top and bottom line as capacity for our smoothie carton format starts to significantly ramp up heading towards 25 million to 30 million units annually by the end of this fiscal year. We believe we are engaging with the right partners who will be able to grow with us and help us on our path towards sustainable long-term growth. And with that, I would like to open up the line for questions. Operator?
Operator: [Operator Instructions] Our first question is from Nick Sherwood of Maxim Group. Please go ahead.
Nick Sherwood: Hi, thank you for taking my question. Can you go into any detail about the visibility you have on the contracts for the upcoming school year, the type of school districts you're working with and things of that nature?
Riccardo Delle Coste: Yes, sure. Actually, that's a great question because part of the challenges that we've had since last year has been -- because of the product issues that we had, the schools that we lost that we were taken off the menus for, it was very difficult to get back on to the menus mid-season. However, what did happen -- what has been happening during that time with the new product is that we have been showing the customers, obviously, the product that we have, including the smoothie carton format. And we have been added to a very significant number of bids, and those bids are completed up until the end of the school year. So as we now enter the '23-'24 school year, there are quite a large number of bids that we have been awarded as well as previous customers that had the product that took us off their menus because of the bad product, and they've now added us back on to their menus. So now we have a full complement of customers that both previous customers that we had lost as well as new customers that we've gained that will now be starting the beginning of the new school year. So we do have a lot of bids that have been awarded, everything from your large urban school districts to smaller districts to purchasing co-ops, which range from hundreds of school districts that we've been awarded. It's been a very exciting time for us actually getting back into the new school year with a larger range of products at a very opportune time for us.
Nick Sherwood: Awesome. And then my final question is, do you have any updates on the bulk and single-serve segments of the business?
Riccardo Delle Coste: Yes. So the bulk and single-serve parts of the business are starting to come back. We have actually seen a push on our -- particularly on our bulk part of the business. For the first time actually since COVID, we feel as though the labor market has been improving for our customers. Before this new summer season, we still found it a little bit challenging. For the equipment side of the business with customers that still needed to operate equipment last year, we felt that the labor market was still pretty challenging for our customers. And as a result, that affected our bulk sales. However, going into this season, we have definitely seen an increase in requests. The equipment has been turned back on. Our bulk sales are up. So we're very encouraged with that. And we also did relaunch our new 5:1 bulk program as well. So that's also going to be contributing to our sales going forward, which hasn't been the case. And that was as a result of COVID put back on hold, and we've just relaunched that now. So -- and it's a very high-margin product.
Nick Sherwood: Thank you. Thank you for all that detail and I'll return to the queue.
Operator: [Operator Instructions] Our next question is from [indiscernible], he's a private investor. Please go ahead.
Unidentified Analyst: Hi. Good afternoon Riccardo, how're you?
Riccardo Delle Coste: Good. How're you?
Unidentified Analyst: So it's a pretty significant jump from Q2 to Q3 that you're projecting. It seems like you have signed a lot of school districts, but we haven't heard any press release or announcements. Is it because of that ongoing legal pending case that you're not able to announce such deals?
Riccardo Delle Coste: No. That's really separate, and we really don't -- we're not really commenting on anything that we are or aren't doing as a result of that situation. Yes, some of these accounts are existing customers. It's part of the ordinary course of business. A lot of these things are starting to come into fruition as we speak now. A lot of the school districts, some of them are restarting school. They have varying degrees of -- they have varying timetables for when they go back and when they complete their process. Some wish not to be disclosed publicly. In actual fact, some school districts don't actually want us to disclose it publicly at all. So we're really just working on focusing on getting our sales up, getting our contracts in, getting our bids completed, getting products rolled out to the market as we go into the new school year. As you can see, we are expecting a very strong back half of the year. We had been indicating that all along. Finishing the school year, which finishes obviously around the June mark, was always going to be challenging because of the product issues that we had experienced beginning last year and that those customers that we lost that replaced us on their menu, it's very difficult to get back on the menu once they take you off. So our ability to now get back on to their menus with the beginning of the new school year and by having good product and having the carton product available has been very advantageous. So in addition to having the new carton format in the beginning of the new school year, we have also been getting new customers because the smoothie carton format has afforded us the opportunity to get even some of those larger school districts that we couldn't get previously. Now with the new carton format, we're very excited about the back half of the year. As you can see, as we've announced both from our production perspective, on the carton capacity has been increased. We've got a new bottle manufacturer that is expected to be online in January. The sales are increasing. We're winning bids across the board. So other than the cleanup of the historical issues that we've had with the previous bottle manufacturer, we feel that, that's pretty much in the rearview mirror now as we look to finish the year very, very strong. Again, we're expecting record quarters and a record year from here on out.
Unidentified Analyst: Got it. I mean, that's kind of like what investors and yourself being the Founder, CEO and the company, you've been hoping for. Anything you could share in terms of the Q4? I mean, that's going to be a pretty significant jump in Q3 versus Q2, almost double.
Riccardo Delle Coste: Sorry, again, it's really not, right? We should have been here and more last year.
Unidentified Analyst: Yes.
Riccardo Delle Coste: We were already at this point, right? So had it not have been for the issues that we had with the previous manufacturer, we would have been probably a multiple of that already by the end of this year very easily.
Unidentified Analyst: Got it. Got it. Anything you could share on the -- how do you see the Q4 shaping in terms of not going into the guidance, but based on the school district you have signed? Do you expect sequentially that to grow over Q3?
Riccardo Delle Coste: Absolutely. I mean, just to be very clear, despite the numbers that we have, which are, as you can see, clearly getting very strong, we have still a significant number of accounts that we can't service yet because we don't have the bottle capacity. If we had that bottle capacity now, we would be significantly higher still. not only are we going to expect to increase our sales between Q3 and Q4, but we already know that come Q1 when we have the new bottle manufacturer online, that's going to open us up to a whole additional range of customers that have been waiting for the additional bottle capacity. So we don't just expect that growth to come between Q3 and Q4. We expect it to come Q3, Q4 and then into Q1 and on into next year as well.
Unidentified Analyst: Got it. That's great. One last one. In terms of the cash, where we are, do you think that's enough? I understand there could be things that can happen that can provide the cash. But are we going to be able to go through and service and show that revenue with this cash? Or are you looking to -- will the company raise?
Lisa Roger: Well, we believe that our operating model currently would be cash flow positive in Q3 -- or close to breakeven in Q3 and positive in Q4. We have a fairly short operating cycle as far as cash. And so it doesn't -- it's not like we have to invest a lot into working capital as we grow. So there's not much concern there. So in addition to that, we previously announced the NASDAQ issue and have secured some funds through a convertible debt offering that's fully -- we haven't drawn. We don't have to draw it, but it's available for us. And it's primarily intended to shore up the equity balance we have if we need to get there to meet the NASDAQ compliance. But we don't -- we hope not to have to draw it.
Riccardo Delle Coste: And it's really only as a backup.
Unidentified Analyst: Yes. Got it. So that takes care of that NASDAQ concern as well?
Riccardo Delle Coste: Correct.
Unidentified Analyst: Thanks.
Operator: [Operator Instructions] We have no questions in the queue. And that then concludes today's conference. You may disconnect your lines at this time, and thank you for your participation.